Operator: Good day ladies and gentlemen, and welcome to the fourth quarter 2008 Drew Industries Inc. earnings conference call. My name is Grace Ann and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of today's conference. (Operator Instructions). As a reminder this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host of today's conference, Mr. Ryan McGrath with Drew's Investor Relations. Please proceed.
Ryan McGrath: I want to take a few minutes to discuss our quarterly and year-end results. However, before we do so, it's my responsibility to inform you that certain statements made in today's conference call regarding Drew Industries and its operations may be considered forward-looking statements under the securities laws. As a result I must caution you that there are a number of factors, many of which are beyond the company's control, which could cause actual results and events to differ materially than those described in the forward-looking statements. These factors are identified in our press releases in our Form 10-K for the year ended 2007 and in our subsequent Form 10-Qs all filed with the SEC. With that, I would like to turn the call over to Leigh Abrams. Leigh?
Leigh J. Abrams: Thank you, Ryan. And good morning and welcome to all of you on this call, and to all of those listening on the Internet. After 30 years as Drew's CEO I believe it's time for me move on to new challenges and adventures, its highly unusual for someone to be the CEO of the company for as long as I have. But all I can say is that I've had great experiences, terrific opportunities and tremendous satisfaction as the CEO of Drew. And then now as Chairman of the Board of Drew, Drew will continue to be a big part of my life. I also want to take this opportunity to thank all you for your valued support and encouragement for Drew and me over these past years. I take great confident in knowing that Fred Zinn, who has been with Drew for the last 28 years will be succeeding me. Fred was appointed President last May, and CEO as of January 1, '09. Fred is very smart highly qualified and has the full and enthusiastic backing and confidence of me and our entire Board of Directors. I look forward to Fred helping Drew become an even better company in the years ahead. In addition, as we have previously reported, David Webster, the long time President and CEO of our Kinro subsidiary has also recently retired. Jason Lippert, the CEO of our very successful Lippert Components Subsidiary is now also the CEO of Kinro, which for many years was the backbone of Drew's success. My only regret is that I'm leaving Fred and Jason with the job of coping with one of the worst recessions this country have seen in many years. However, I am certain that Fred and Jason are up for the task. Rusty Rose, who has been Drew's Chairman for the past 30 years will now be our Lead Director. Rusty and I will always be available to consult with Fred and Jason and offer whatever advice we can. Our interest in Drew remains as intense as ever as Rusty is one of Drew's largest stockholders and I have a significant portion of my net worth in Drew's stock, albeit less than it in the past as a result of our lower stock price. It is now my pleasure to turn Drew and this call over to Fred.
Fredric M. Zinn: Thank you very much, Leigh. However, we saved the litany of bad economic and industry news that led to Drew's first quarter as low as in many years I know you've all heard it many times before, but I should point out that despite the dismal economic environment, for the full year 2008, Drew achieved a profit of $0.53 a share or $0.76 a share excluding the goodwill impairment and retirement charges that we described in our press release. While that's well below prior year earnings, we still believe it's quite an accomplishment in these very, very difficult economic times. Joe will give you more of the details on our the results for the quarter, but basically excluding the goodwill impairment and executive retirement charges the decline in our operating profit for the fourth quarter was almost entirely caused by the $73 million organic drop in sales. And that sales decline resulted from reduced industry-wide production both because in this environment it's difficult for dealers and consumers to get loans and because consumers are reluctant to make big, take discretionary purchases. As a result many of our customers plants closed in mid-November and did not reopen until late January. The balance of our profit shortfall compared to the fourth quarter of 2007 was due to higher raw material cost flown through our P&L as well as severance and other costs related to facility consolidations and staff reductions. The economic and industry conditions are not likely to improve significantly in the next few quarters. So, we will continue to tighten our belts by exploring and implementing additional cost reductions and efficiency improvements. And I think you can judge from our track record that we will take all appropriate steps to respond to this pure recession, by streamlining our operations even further. As President Obama noted in his press conference earlier this week, the extremely tight credit market is at the root of the current problems in the RV and manufactured housing industries. To address this issue, our industry organizations worked closely with congressional representatives to ensure that the government's economic stimulus packages include programs designed to promote lending for both dealer's floor plan financing and retail buyers of RVs and manufactured homes. We certainly urge all industry participants to make their opinions about this issue known to their representatives in Congress. And the need for affordable home is provided by manufactured housing, will if anything increase as homebuyers strive to stay within their means. During bad times, its difficult to foresee that better times are ahead, but I believe the economy and our industries will recover. It’s worth nothing that following the last three recessions, the RV industry grew by more than 20% in the first year of the recovery. We have a great management team that has proven its ability to manage through difficult times and produce superior results. As you know, we’ve remained consistently profitable in our manufactured housing segment despite an industry decline of more than 75% in the last decade. In both, our RV and manufactured housing segments, we have taken proactive aggressive steps, which are helping us deal with this recession and our strong balance sheet will be critical in this regard. In the last three years. We have consolidated 26 facilities, we have cut fixed cost by more than $15 million and reduced our production workforce by more than half, all while still maintaining outstanding customer service. At the same time, we’ve taken advantage of opportunities to grow. Since 2005, we increased our content for RV by more than 50% through acquisitions, market share growth and new product introductions. Even in the last few months, we have introduced new product lines in acquired Seating Technology, further we have more new products in our pipeline and we remain focused on growth. I think it's worth emphasizing that what we've done in the last few months consolidating seven facilities and reducing fixed costs and introducing new products such as the RV entry door has not shown up in our results yet. In fact, they hurt us in the fourth quarter. But those actions will help in 2009, as will the other steps we will be taking in the coming months. Personally, I believe in Drew's long-term potential. So, I'll be increasing my holdings in Drew by taking a significant portion of my compensation in the form of equity in Drew. In a small way, this will help us conserve cash, but more importantly it helps align my motivation with the interest of stockholders. We've always had a very, very effective incentive compensation program, and the compensation committee of our Board has enhanced our pay-for-performance executive compensation plans by reallocating some of our bonus pool to provide further motivation to outperform the industries we serve. As always compensation remains strongly tied to profits. From my 28 years working with Leigh, I've learned that effective management is the key to the success of any business. With a great management team that is motivated, and has taken ownership of their business both figuratively and literally, our company will almost surely rise above it's peers, we have that team at Drew. Now, I'll turn it over to Joe to discuss our results in more detail.
Joseph S. Giordano III: Thank you, Fred. Our operating management hopes for the best, but prepares for the worst and has applied this in practice by streamlining operations, consolidating facilities and reducing other fixed cost wherever possible. Fixed cost reductions help 2008 fourth quarter operating results by $1.1 million. These fixed cost reductions increased operating profit for the full year 2008 by over $5 million, in addition to the $6 million savings we've realized in 2007. Included in the fourth quarter loss of $0.43 a share were charges for goodwill impairment and executive retirement, as well as costs related to severance and plants closures. In addition, the quarter was negatively affected by higher raw material costs, excluding these items the fourth quarter loss would have been approximately $0.12 a share. Some of these items like the higher raw material costs will continue into 2009. In the fourth quarter of 2008, we were again negatively affected by higher than historical health insurance costs. Management has addressed this by planning changes to our health insurance plan upon renewal, which should yield additional annual savings of over $1 million. This savings is an addition to the $4 million of cost reductions for 2009 as noted in the press release. In this economic environment, we are focusing even more on the internal and external risks affecting the company on a daily basis. In particular, our accounts receivable credit risk has increased as the economy has weakened, but we do not incur significant bad debt losses in 2008, reserves were increased earlier in the year by $1 million. In 2009, we will continue to closely monitor credit risk and work with our customers on appropriate credit policies. We conduct an impairment analysis of the goodwill, other intangible assets, and other long lived assets in all of our business segments, which resulted in the impairment in non-cash write-off of all goodwill related to our California based specialty trailer business. Based on our analysis, the estimated fair value of our RV and manufactured housing businesses currently exceeds the book value. Thus no impairment was recorded. However, the declines in these industries have been severe, and we will continue to monitor these industries in our results. SG&A costs were 21.2% of 2008 fourth quarter sales, compared to 14.9% in the fourth quarter of 2007. This increase was primarily the result of higher delivery costs, the spreading of fixed cost over smaller sales base, and $1.1 million of charges related to plant closures and staff reductions. These items more than offset the cost cutting measures, as well as a significant reduction in incentive compensation, due to lower profits. In addition, the SG&A costs in the fourth quarter of 2007 included an $800,000 gain on the sale of a facility. As previously announced, we completed the refinancing of our credit and shelf loan facilities, during the fourth quarter of 2008. We are extremely pleased to have such solid financial partners in JPMorgan Chase, Wells Fargo and Prudential. 2009 we expect to generate cash flow from a $20 million to $30 million reduction in inventory. In 2009, we will also have $20 million in non-cash charges from depreciation, amortization, and stock-based compensation. We do not currently anticipate any significant borrowings in 2009. We are in the process of selling foreclosed facilities and some vacant land. The estimated fair value of this land and buildings approximates the current book value of $6 million. In one of these facilities with the carrying value of $400,000 is under contract, and is scheduled to be sold for book value in the first quarter of ’09. Our effective tax rate in 2008 was 38.6%, an increase from the 37.2% in 2007. This increase was primarily due to the lower profits, such as the larger effect that permanent differences have on State and Federal tax rates when profits are lower. The annual effective tax rate is difficult to estimate for 2009, but is expected to be 39% to 40%. During the fourth quarter of 2008, we reached an agreement in principle with the State of Indiana to settle tax years 1998 to 2006 for $4.6 million subject to final documentation. This amount has been fully reserved and is expected to be paid in the first quarter of 2009. Thank you for your time and I will turn it back to Fred.
Fredric M. Zinn: Thank you, Joe. Grace Ann we can open up for questions now.
Operator: (Operator Instructions). And your first question comes from the line of Kathryn Thompson of Avondale Partners.
Kathryn Thompson – Avondale Partners: Hi. Thank you very much. Just first I want to focus a little bit on just kind of structural with your business and industry conditions. There have been a number of RV manufacturer failures since this summer and some that are kind of gets the roads right now. How much have manufacturer failures impacted your business in the quarter, and how much of the factor do you think that this will be in 2009?
Fredric M. Zinn: Hi, it was not a significant factor in the fourth quarter. There were no customers that we did a substantial amount of business with that closed earlier in the year. We had very, very modest receivable write-offs, we protect ourselves pretty well on receivables. So, I don't see that as a huge factor. I think, in terms of going forward we will have to see how long the downturn last, I think that the customers of ours that are suffering the most are the ones that have lowest market share and as a result our receivables to them, and our sales to them have declined significantly. So, I don't think it will be a big factor going forward as you know, Kathryn we sell to virtually every customer in the industry, and but we lose if one customer unfortunately has difficult time if we are likely to pick up through another customer there.
Kathryn Thompson – Avondale Partners: Yeah. And how do you manage, what are the type of systems you have in place to help manage customers that are having trouble with receivable?
Fredric M. Zinn: Well, we've spend a lot of time especially in the recent few quarters, we spend a lot of time looking at the credit policies that we make available to our customers, and we certainly review very, very frequently their receivable balances and their agings, and I think we have the top credit people in the industry really protecting us and managing those receivables. We know what our cash position is and we know what our receivables are for these customers, almost every day. And we track it very closely.
Kathryn Thompson – Avondale Partners: Okay. What are your financial covenants there currently versus your prior facilities?
Fredric M. Zinn: Maybe Joe can answer that. They were a little tighter than they have been in the former facilities nothing significant as you probably know, the limit that we have in terms of our borrowing is down, but we don't foresee borrowing any significant amounts in the coming years and we don't foresee any issues with our covenants. I think all banks and all companies are going to be subject to more restrictive covenants, but doing our forecast, looking out for the balance of this year and even into the following year we don't really see any thoughts.
Kathryn Thompson – Avondale Partners: Okay. Or Joe do you have, what that covenant is just for our records?
Joseph S. Giordano III: Yeah, in terms of the covenants they're pretty identical to what they were before with the exception of just some items that are included in the calculation or excluded in the calculation in particular treasury stock repurchases were not really an issue last time we did this three, four years ago. So, we did add in that number, and the some of the leverages will or could be affected going forward if there was a change in our earnings then so our leverage could drop from the maximum of 2.5 to about 1.25 times.
Fredric M. Zinn: But is it times of EBITDA?
Joseph S. Giordano III: Times of EBITDA, correct and as we say we don't anticipate any borrowings here through '09.
Kathryn Thompson – Avondale Partners: Debt–to-EBITDA is, was it 2.5 times.
Fredric M. Zinn: Correct that's the maximum currently and EBITDA on a pro forma basis dropped to I think it's $50 million below that than the maximum, that leverage ratio of 2.5 drops to 1.25.
Kathryn Thompson – Avondale Partners: Okay, okay. You were in the process of selling three facilities I believe in the last quarter where does the sale of those facility stand right now?
Fredric M. Zinn: Of those three, two are closed and the one I just mentioned is currently scheduled to be closed in the first quarter of '09.
Kathryn Thompson – Avondale Partners: Okay. All right. And also how should we think of you have been doing a lot of headcount reduction another SG&A cuts and you've had SG&A cost down sequentially in fiscal '08. How should we think about modeling SG&A into fiscal '09?
Fredric M. Zinn: Very carefully, it's difficult Kathryn, that we have disclosed what are reductions in fixed cost will be $4 million and Joe talked about the additional insurance cost that we will be saving, but it really depends upon, a fair portion of our SG&A is fixed. So, it's difficult to model out without knowing what your sales are.
Kathryn Thompson – Avondale Partners: Okay.
Joseph S. Giordano III: And to help on that with the health insurance cost, we expect it to be at least a $1 million annually and that should go into effect in the middle of the year.
Fredric M. Zinn: The other reason it's hard to model out, as you know we have a history of continuing to reduce our costs, we have to be realists depending on where the market goes, we may need to implement further cuts and we will do that there are companies, a lots more than us that make a lot of money and we are prepared to do whatever it takes to make sure that we are successful.
Kathryn Thompson – Avondale Partners: Okay. But could you see the number move around, because of seasonality.
Fredric M. Zinn: You mean the SG&A.
Kathryn Thompson – Avondale Partners: Right.
Fredric M. Zinn: Yeah SG&A is certainly, its impacted by seasonality it's impacted by our delivery cost for instance, which are modest, but so do impact SG&A its impacted by whatever incentive compensation accruals we have, which are also seasonal.
Kathryn Thompson – Avondale Partners: Okay. And the finally just interested to learn about the TALF program?
Fredric M. Zinn: All right.
Kathryn Thompson – Avondale Partners: I think those people are calling it now, the government made a lot of hay about supporting the manufactured housing industry, but hasn't yielded a whole lot from what we have seen, but what gives you, what type of color can you give on this program and what's your confidence level that this program will help support the RV industry, obviously on the financing side, which would be very helpful?
Leigh J. Abrams: It's Leigh. As you know, President Obama recently visited Elkhart.
Kathryn Thompson – Avondale Partners: I do know that, I was kind of hoping for that was my glimmer of hope for the industry.
Fredric M. Zinn: Yeah.
Leigh J. Abrams: It's all going to boil down to financing, how do we get financing.
Kathryn Thompson – Avondale Partners: Sure.
Leigh J. Abrams: And we are hoping that the TALF program will help the banks lend particularly for the RV industry and the manufactured housing industry. But I think the manufactured housing industry, the one or two things they're really looking forward to is the FHA program going into effect, the Title 1, where they will start lending the loan was passed almost six months ago, it's scheduled for April 1 put the new higher limits in from $48,000 up to $70,000 in guaranteed lending. That we believe will be a significant factor. Our congressmen are also and our industry organizations are also pushing for not only the $7,500 tax credit, but to convert the $7,500 tax credit into a rebate rather than a tax credit. And I think the House in fact has of that to $15,000, but again a rebate revenue and tax credit would be a very big move for the industry. So, our organizations are pushing for that, but you just never know what the congressmen could do.
Fredric M. Zinn: It certainly was good to hear in President Obama's speech a reference to the industry it just kind of highlighted it putted in front of the congressmen and hopefully we will see some action. But in terms of level of confidence I’d say pretty good.
Kathryn Thompson – Avondale Partners: Pretty good.
Fredric M. Zinn: Yeah. We will say.
Kathryn Thompson – Avondale Partners: Okay, perfect. Thank you so much.
Fredric M. Zinn: Okay.
Operator: Your next question comes from the line of Scott Stember of Sidoti & Company.
Fredric M. Zinn: Hi Scott.
Scott Stember – Sidoti & Company, LLC: Good morning. Joe last quarter or the quarter before that you guys talked about on the annualized run rate, the higher steel prices in your inventory versus a year ago. Could you may be quantify that at the end of the year?
Joseph S. Giordano III: In terms of the annual run rate we do have some higher inventory, higher cost of raw materials still in the inventory as we noted and that, so its difficult to quantify and it varies from product line to product line and plant to plant in terms of that looking at some of them some of the prices in the marketplace have come down recently, but we still have some of this stuff there. So, the annualized, the impact is very difficult because, it’s a mix between product lines and between plants at this point.
Fredric M. Zinn: Its way down from obviously from what we had estimated before, the cost of raw materials are down and we have used there quite a bit of the raw materials and also its almost irrelevant, because it depends on selling prices and sales levels. The sooner we can rid of the higher priced materials the better we have been able to maintain our selling prices to offset that. So, it almost doesn't matter what the steel costs are relative to prior period it almost, it only matters how much of it we can cover and we are covering most of it.
Scott Stember – Sidoti & Company, LLC: And in your comments Joe you talked about $20 million to $30 million worth of inventory reduction, which I guess would be $65 million to $75 million is there anymore room from proven beyond that just given the overall levels, industry sales if we were to still see things pretty weak heading into the third quarter of '09.
Joseph S. Giordano III: Yes. I do feel so and I guess Jason I will let you have any other involvement on that if sales were to tail off?
Jason D. Lippert: Yeah, I don’t know how much more they can tail off, but if they go back to fourth quarter levels of production at least for that our customers that have done, yeah there is more room there, but we are not anticipating that for the next couple of quarters, just because there was little to no production in November and December of '08. So, I think the numbers that Joe gave are pretty accurate going into the next few quarters.
Joseph S. Giordano III: I guess the point is on top of that, we will adjust our inventory to current demand whether it's up hopefully or down. So, if it's down we will take more out and if things recover in the second we will have to buy some more inventory.
Scott Stember – Sidoti & Company, LLC: Okay. And in the press release you guys talked about later in January, started to see some of your customers going back online, if could you talk about, if that's carried over to today and if that's what your thoughts are going forward?
Joseph S. Giordano III: Yeah Jason, do you want to respond.
Jason D. Lippert: Sure. Yeah, I mean that's, it's been a big change from the last few months because of the months of November and December and pretty much for the better half of January first half of January there wasn't much production at all, but, since mid-January and carrying into the last couple of weeks things have been pretty strong and a lot different than what we have seen in the last couple of months prior to February. So, there is not a lot of visibility out there on our customer's parts. Do everything that we stated, but in the condition of the market, but there is some pretty consistent production going on right now, which is a good change from what we have seen over the last couple of months
Scott Stember – Sidoti & Company, LLC: Great. And last question just on the radio store that you guys introduced over at Louisville, I know that right now its difficult to gauge given the entire situation of the market, but do you get some anecdotal evidence of acceptance of this products and what this could possibly do for you once the market does rebound?
Jason D. Lippert: Yeah. It's a moving target right now with respect to where total industry production is at, on the towable side, because that's where we introduced the door, but, we are building about 350 doors a week right now and have orders for more and its no different than some of the other product lines we came out within '08 and prior, we intend to take a pretty substantial chunk of the market.
Scott Stember – Sidoti & Company, LLC: Great.
Jason D. Lippert: With the competitive products. So, the traction is really good.
Scott Stember – Sidoti & Company, LLC: Excellent. Thanks a lot.
Operator: Your next question comes from the line of Torin Eastburn of CJS Securities.
Fredric M. Zinn: Hey Torin.
Torin Eastburn – CJS Securities: Good morning. Joe I didn't catch what you said about free cashbooks, can you just go through that briefly again please.
Joseph S. Giordano III: In my speech, I was talking about the inventory reductions of $20 million to $30 million coupled with non-cash charges for 2009 of depreciation and amortization and stock-based compensation should be approximately $20 million.
Torin Eastburn – CJS Securities: All right great thank you. Obviously, it's a difficult environment for gross margins once you get through the high cost deal and finish some of your plant closures. What you see as an attainable range assuming there is no big change in volumes?
Joseph S. Giordano III: Well we know we don't give out forecasts, but we should keep in mind that while out cost of sales are largely variable, the labor and material and a fair portion of overhead is variable there are some fixed cost in there. So, it depends a lot on what level of sales we have. And certainly I would hope to do a better gross margin than we achieved in the fourth quarter that was one of the probably the low point that we've had in many years, but I can't give you a forecast for the future.
Torin Eastburn – CJS Securities: Okay.
Fredric M. Zinn: Maybe a slightly different way to approach it is, in prior quarters we've talked about the fact that our incremental margin down at the operating profit level is about 20%, and that’s where we expect to be. So, as sales are up or down, but we earned on that extra sale dollar is $0.20.
Torin Eastburn – CJS Securities: Okay. I appreciate that help, and the other analyst asked a bunch of good questions I just have one more I am kind of curious what do you tell your employees and your workers in this environment?
Fredric M. Zinn: Jason is the one who deals with most of the employes, we have got nine employees here in [solicitation] and he will deal was that.
Jason D. Lippert: Well, its obviously unprecedented situation, I mean I have only been in the industry for 15 years, but when we see downtime for one or two weeks at the most over the seasonal periods, but when you have got customers that are taking 8 to 10 weeks off in a row, I mean you got a layoff, and you got to do the smart things with respect to your employee base and with, over 2500 employees before fourth quarter, it's a situation we can't just sit on your hands and do nothing. So, and we took hard steps and had to make a lot of tough decision both from a administrative salary standpoint and write-down of the shop floor. So, you safely account and do the best you can with the employees that you need to keep tracking for the orders you have and it's kind of we have been feeling month-to-month right now, and things are starting to get better we have actually added some employees in the last couple of weeks as opposed to having to continue to drop employees off the payroll.
Fredric M. Zinn: I talk to Jason often about these kinds of things and I can hear in his voice that having to make cuts like that is an emotional strain and very difficult to deal with I mean more so for the employees getting cut, but for the management as well. And he has done a great job dealing with it and keeping their remaining workforce highly motivated, may be, we employed a lot of people in North Indiana. And there the unemployment rate is the highest about any place or the highest of any place in the country and people are very happy to have a job and they are happy to be employed by a company that has a solid balance sheet and it's going be around for the long term.
Torin Eastburn – CJS Securities: All right. Thank you I appreciate your time.
Operator: Your next question comes from the line of Adam Schwartz of First Manhattan.
Fredric M. Zinn: Hey, Adam.
Adam Schwartz – First Manhattan: Hi good morning. My question is I guess I am trying to get at what everybody else is trying to get out. In terms of your lowered sales level to hit break-even, without maybe giving me an exact number, just strategically in terms of how you think about, clearly with excess capacity in the industry and in the company trying to meet this new level of sales, which is probably somewhere between what it was in the end of the year and where we are today, nobody would say its quite that low, because people idled plants. But how if this, how far long do you think you're in terms of getting that extra capacity out and getting it to a level where you are comfortable with, and if you actually try to go above and beyond even further than when you think the market is that you retain some sort of headroom.
Fredric M. Zinn: Yeah, I think there are additional things we can and we will do depending on what happens with the marketplace. One way for you to look at it, if you're trying to forecast let's say whatever [break-even] is as I mentioned to Torin our incremental margin is on the order of 20%. So, take a quarter, which ever quarter you want and take out all those special charges as we described hopefully pretty well in our press release and 10-Q and then you could figure out where are going. If the sales are up or down, you could figure out where we would be because of that 20% incremental margin. In terms of headroom, we have, we definitely have headroom Jason you may want to comment on that, but we are only to one shift, we are only producing one shift at a time now so we've got lots of room even if we took more out.
Jason D. Lippert: And none of the single shifts are running at full capacity right now I mean most of our plants are four days so.
Adam Schwartz – First Manhattan: And if you look across the industry I mean you said you took seven plants out of 36 or so. What you think industry wide in terms of how much more capacity needs to be taken out we could be looking at.
Fredric M. Zinn: Jason. Do you have any feel for that?
Jason D. Lippert: No, I mean, you mean you got to kind of work backwards from the numbers I mean if they are calling for 158,000 towables this year I mean that's a number we are working off, and you kind of do the backwards math and look at what everybody is producing today and figure, you don’t know whose is not going to be around tomorrow, but you at least have a number to work off and that's where we've planned our business around.
Adam Schwartz – First Manhattan: All right. Thanks very much.
Operator: Your next question comes from the line of Barry Vogel of Barry Vogel & Associates.
Fredric M. Zinn: Hi Barry.
Barry Vogel – Barry Vogel & Associates: Hi good morning gentlemen. I want to go back to some of the comments you made on the government programs because obviously you can see a headline and you don’t know the details?
Fredric M. Zinn: All right.
Barry Vogel – Barry Vogel & Associates: But I would think that you guys would know the details far better than us?
Fredric M. Zinn: Unfortunately, as you know there has been much released, so we don't know much more than you do.
Barry Vogel – Barry Vogel & Associates: I know, thanks to the Treasury Secretary.
Fredric M. Zinn: Yeah.
Barry Vogel – Barry Vogel & Associates: Anyway you talked about in your press release that the RV business was recently put into the TALF?
Fredric M. Zinn: Yes.
Barry Vogel – Barry Vogel & Associates: You didn’t say in your press release that manufactured housing was in the TALF?
Fredric M. Zinn: Yeah. I didn’t know if we have got any confirmation of that and I don't even know if there is official confirmation that it has been conclusively added to the TALF, but we did get, we saw press release issued by the RVIA that the Federal Reserve had indicated to them that dealer floor-plan financing and consumer loans for RVs would be included in the 20 at that time $20 billion of TALF fund is earmarked for that type of thing?
Barry Vogel – Barry Vogel & Associates: So, you don’t know if manufactured housing is included?
Fredric M. Zinn: No, I don’t know that, but I do know again from the industry associations that that's something that they have been urging its…
Barry Vogel – Barry Vogel & Associates: Right.
Fredric M. Zinn: Its maybe not quite as much in the news, but it's certainly something that the industry participants have been pressuring the congressmen to do?
Barry Vogel – Barry Vogel & Associates: Okay. On the same thing, this "stimulus package" in the Wall Street Journal they had a, the main point and they talked about a housing credit $7,500. Can you give us color on that as it pertains to manufactured housing?
Fredric M. Zinn: Well, it is available to everybody this $7,500, but again the manufactured housing industry is really pushing for that to be an effective rebate rather than a credit, a lot of people manufactured housing don't have enough taxes to generate a $7500 credit. So, we would really like to rather see it as a rebate to help the industry, which we think would be a lot more than a $7500 tax credit that you have to pay back over 15 years. And for what we are hearing that even if it doesn’t become a rebate at least the government is talking about not having it repaid back, which again would be a big advantage.
Barry Vogel – Barry Vogel & Associates: Yeah I think, in some of the [vans] that it's not to be paid back.
Fredric M. Zinn: Well it keeps bouncing around.
Barry Vogel – Barry Vogel & Associates: I know it.
Fredric M. Zinn: But again the biggest item that could help the manufactured housing industry is when the rules and regulations have finalized for the FHA lending program, which increases the lending limit from 48,000 to 70,000 that could be the biggest stimulus for the industry and the new administration has promised that those rules and regulation will be in place by April 1 and then the MHI is doing everything they can to push them to meet that deadline that could be a very big incentive for the industry.
Joseph S. Giordano III: And last year, I think there were only 1,500 or 1,800 homes financed through FHA support, we got to see a much bigger number.
Barry Vogel – Barry Vogel & Associates: If you won't know until it actually gets. So, it's still a big question mark?
Joseph S. Giordano III: Yes.
Fredric M. Zinn: Correct.
Barry Vogel – Barry Vogel & Associates: Okay. And as far as the bad debt, you said in your commentary that you had raised your reserves in the beginning of '08, by a $1 million and if that’s true, certainly things had deteriorated dramatically for both your industries and more, and in particular the RV business because not only you had bankruptcies some of these big players certainly, they're in motor homes, but still two of them are in towables. Do you think that that's enough those bad debt reserves that you've raised in the beginning of '08 given what's happened since then?
Joseph S. Giordano III: Yeah. Absolutely, I had to remember Barry, you can't reserve what you are going to sell tomorrow, we can only reserve what's on the balance sheet. And at the end of the year, we didn't have a lot of receivables on the balance sheet, and most of our customers weren't shipping in the fourth quarter. And beside that the companies that are in the most trouble or had the most difficulty as I said their market share is down, their sales are down. So, just naturally their receivables are down. But we feel very comfortable that we are adequately reserved at year-end we look at it every month and we may have to add in the first quarter depending on what happens, but those companies that are in the most trouble we look at all the time and we are adequately reserved.
Barry Vogel – Barry Vogel & Associates: Okay. And on the severance and plant closures, could you tell us what the impact was in the fourth quarter and the year and in where are they located in your P&L?
Fredric M. Zinn: Joe you want to.
Joseph S. Giordano III: Yeah. For those cost I don’t' have the year numbers, they really weren't too significant until we got into the fourth quarter.
Fredric M. Zinn: Yeah, most of it was in the fourth quarter.
Joseph S. Giordano III: Correct and really in looking at the P&L there is a portion of it that's down if you are looking at the segment presentation a portion of it is in the other items and it's almost split a third, a third and a third between other items RV and MH.
Fredric M. Zinn: And it was about a $1.1 million or $1.2 million if I was right.
Barry Vogel – Barry Vogel & Associates: The total?
Fredric M. Zinn: Yes.
Barry Vogel – Barry Vogel & Associates: Okay. And as far as the steel issue you did allude to the fact that steel costs are coming down and I know you're absolutely correct, but during the year, I would think you might have been squeezed as far as when you could raise your prices relative to rising steel cost would you have a number of the squeeze for the year between steel cost and what you're able to get back in price really?
Fredric M. Zinn: Well, if I understand your question right. How much did we lose because we didn't raise our selling prices to match the cost.
Barry Vogel – Barry Vogel & Associates: Yeah.
Fredric M. Zinn: Yeah in the fourth quarter it was $1.5 million or $2 million in the quarter before that it was $2 million to $3 million and not an awful lot before that. So, we are talking about on the order of $5 million or say $4 million to $6 million price for the year.
Barry Vogel – Barry Vogel & Associates: Okay. So, do you think with that collapse in pricing in the steel business will allow you to in theory not be squeezed in 2009?
Fredric M. Zinn: Well not after these first few months as we are disposing out some of the higher cost stuffs that's correct.
Barry Vogel – Barry Vogel & Associates: Those both things were equal you could pick up $4 million, $5 million in operating cost.
Fredric M. Zinn: Yeah starting in few months from now.
Barry Vogel – Barry Vogel & Associates: Okay. That's great and keep up the good work, you're doing an outstanding job there is no question considering you've had depressions in both your industries, full fledged depression.
Fredric M. Zinn: Yeah.
Barry Vogel – Barry Vogel & Associates: And unfortunately if it's not over yet in the RV business because of all these inventories that are out at the dealer lots and all the repurchases that are in the process of occurring and so I think the RV business, if it doesn’t' change disaster in 2009 as far as, bankruptcies.
Fredric M. Zinn: Yeah. And, that Barry we are as prepared as any company can be with little debt and some good cash flow coming this year. So, we are prepared for it, we are going to be one of the companies standing at the end of all this and we are going to have picked up market share and introduced new products. So, I appreciate your confidence.
Barry Vogel – Barry Vogel & Associates: It's a hell of a way to pick up market share.
Fredric M. Zinn: Yeah, it's not the way you want to, but take it as you can.
Barry Vogel – Barry Vogel & Associates: Thank you very much.
Fredric M. Zinn: Okay.
Operator: (Operator Instructions). Your next question comes from the line of John Dasher of Pinnacle.
John Dasher – Pinnacle: Hi good morning.
Fredric M. Zinn: Good morning.
John Dasher – Pinnacle: Just a brief question regarding personnel it says Mr. Abrams was appointed Chairman of the Board is that Executive or non-Executive Chairman?
Fredric M. Zinn: He is in Non-Employee Chairman of the Board. So, I guess that would be Non-Executive.
John Dasher – Pinnacle: Non-Executive, okay. And regarding the retirement of Mr. Webster, will he stay on the Board.
Fredric M. Zinn: No.
John Dasher – Pinnacle: Okay. So, there will be a Board vacancy?
Fredric M. Zinn: Actually, I was appointed to the board. This is Fred Zinn speaking. I was appointed to the Board back in the middle of the year. So, I think we have the same number.
John Dasher – Pinnacle: Okay. So, you have eight Directors.
Fredric M. Zinn: Right, including five independent Directors.
John Dasher – Pinnacle: Five independent, three insiders. Okay, thank you.
Operator: And you have no further questions. I will now turn the call back over to Fred Zinn for closing remarks.
Fredric M. Zinn: Thank you, Grace. Well, I really want to thank all of you for taking the time to be on the call today and for your support and confidence in us, we are doing everything we possibly can to improve our operations everyday, to outperform our industries and to maintain the strong balance sheet that we have and again we appreciate your confidence. We will talk to you again next quarter. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. And you may now disconnect.